Operator: Good day everyone welcome to the Minas Buenaventura First Quarter Earnings Release Conference Call. (Operator’s Instructions). At this time for opening remarks and introductions, I’d like to turn the call over to Pete Majesky, with iAdvise Corporate Communications. Mr. Majesky please go ahead.
Pete Majeski: Thank you Erica good morning everyone. Welcome to Compania de Minas Buenaventura’s First Quarter 2006 Earnings Conference Call. Joining us today from Lima, are Mr. Roque Benavides, Chief Executive Officer; Mr. Carlos Galvez, Chief Financial Officer; and other members of Buenaventura’s senior management team. They will be discussing Buenaventura’s results for the press release distributed yesterday evening. If you’ve not yet received a copy, please call us in New York at 212-406-3690 and we will e-mail you a copy immediately. Before we begin, I would like to remind you that any forward-looking statements we made today by Buenaventura’s management are subject to various conditions and may differ materially. These conditions are outlined in the last page of the Company’s press release in a disclaimer, and we ask that you refer to it for guidance. It is now my pleasure to turn the call over to Mr. Roque Benavides. Mr. Benavides, you may begin.
Roque Benavides Ganoza: Good morning to all of you. This quarter Buenaventura’s net income was $125 million or $0.98 per ADS, which represents an increase of 89% when compared to first quarter ’05. This figure includes a negative effect in mark-to-market valuation of $10.3 million. Operating income was $55.7 million, 111% higher than the figure recorded in the first quarter ‘05 due mainly to higher silver production and higher prices of silver, zinc and lead that benefited all our operations. Total EBITDA was $190.8 million, which represented a 62% increase when compared to first quarter ‘05. EBITDA from Buenaventura’s direct operations was $50.6 million, 87% higher than in first quarter ‘05. During first quarter ‘06, net sales were $106.3 million; a 58% increase when compared to the $67.3 million reported in first quarter ‘05 due to a 24% increase in silver sales as well as higher silver, lead and zinc prices. Royalty income during first quarter ‘06 totaled $13 million, a 29% increase when compared to the $10.1 million reported in first quarter ‘05. This was due to higher sales at Yanacocha. Buenaventura’s equity production during first quarter ‘06 was 93,144 ounces of gold, 5% higher than the 88,367 ounces reported in first quarter ‘05, and 3,314,000 ounces of silver, a 1% increase when compared to the 3,288,000 ounces reported in first quarter ‘05. At Orcopampa, total gold production in first quarter ‘06 was 61,751 ounces, an 8% increase when compared to the 56,900 ounces in first quarter ‘05. At Uchucchacua, total silver production during first quarter ‘06 was 2,172,000 ounces, a 14% decrease when compared to the 2,536,000 ounces in first quarter ‘05. For safety reasons, the Company temporarily decided to exploit in areas that reported lower silver grades and secondly change the drilling method, which prevented from maintaining regular tonnage that is the reason for the decrease in our production. The results at Uchucchacua I assume very, very strong but due to safety reasons we are decided to go with this way. At Antapite, total production during first quarter ‘06 was 24,900 ounces of gold, a 5% decrease when compared to the 26,300 produced in first quarter ‘05 due to a 6% decrease in the gold grade. At Colquijirca, within the local company, total zinc production was 15,500 metric tons in first quarter ‘06, a 15% increase when compared to the 13,500 metric tons in first quarter due to higher zinc grade. Total silver production during the first quarter ’06 was 1,987,000 ounces, a 140% increase when compared 831,000 ounces in the first quarter ’05. These are this year production was possible due to higher grade of silver in the area of the open pit under exploitation. We now included our net income from non-consolidated affiliates was $92.3 million during first quarter ’06, an increase of 79% when compared to $51.5 million reported in the first quarter ’05. This increase is explained by the higher results obtained at the Yanacocha and the Cerro Verde. At the Yanacocha, the first quarter ’06 total production, total gold production was 800,000 ounces of gold, an increase of 1% when compared to first quarter ’05 production. We continue to budget 2.6 million ounces for the full year at the Yanacocha. At Cerro Verde, the first quarter ‘05 total copper production was 22,700 metric tons, a 5% increase when compared to first quarter ’05. Capital expenditures at Cerro Verde for the first quarter ’06 were $162.6 million, of which $160 million was allocated to the construction of the primary Sulfide project. Regarding these projects, engineering is nearly complete, while advances are ahead of the schedule and within budget, despite increases in supply prices. This quarter, Buenaventura’s net income was $125 million, representing $0.98 per ADS, a 89% increase compared to first quarter ‘05. This figure includes a loss of $10.3 million, from a change in the fair value of derivative instruments. Without considering this effect, net income for the quarter was $135 million or $1.06 per ADS of share. In our hedging operations on March 22, 2006, 340,000 ounces of gold were converted from derivatives to physical delivery commitments with no cash effect for the Company. At the end of the first quarter ‘06, the Company has all its gold commitments in physical delivery as shown in Exhibit 3. In terms of the project development, at Uchucchacua the sulfide cyanidation plant project was completed in April according to budget and testing will begin in May. The complementary facility to treat oxide ore is expected to be completed in the third quarter ‘06 with an estimated investment of additional $3.6 million. This quarter, the company started deepening the Master Shaft from the level of 4,060 meters to the level of 3,900 which will lead to deepening the Carmen and Socorro mines. Expected total investment for these projects is $10.3 million. In Orcopampa, ramps at Nazareno and Prometida mines were extended 635 meters in the first quarter ’05 reaching the level of 3,490. These projects began in May 2004 and accumulated an investment of $19.8 million as of March 31, 2006. We expect completion by the end of 2006. Likewise, an auxiliary shaft to improve ventilation and ore transportation will be constructed in the Prometida area. Finally, in Marcapunta in the first quarter 06, the main decline advanced 242 meters, accumulating up-to-date 1,222 meters. We expect an advance of 300 meters in the main ramp during the next quarter. In addition, in Marcapunta North, a pilot plant to treat 1,000 metric tons per day is expected to begin full operations in the third quarter ‘06. With this and may I turn to question and answers or we are open to any questions you may have. Thank you very much.
Operator: Are you ready to take questions sir.
Roque Benavides Ganoza: Yes that’s what I said, yes.
Operator: I apologize. The question and answer session will be conducted electronically. (Operator’s Instructions). We’ll hear first comes Daniel Altman with Bear Stearns.
Daniel Altman - Bear Stearns: Hi good morning and congratulations on the results. I’ve got two questions, one is it looks like the difference, there is a difference in reported volumes, Yanacocha from Newmont and Buenaventura I am just wondering if you are showing it in a different way from Newmont? The second question is in terms of your derivative strategy, can you talk about the benefits of going to all physical suppose to deal structure of having derivatives, I guess that’s kind of the, main part of that question thanks.
Carlos Galvez Pinillos: Good morning Dan, Carlos speaking. Could you please expand on the difference of our presentation in Yanacocha the volumes, the volumes in the, in the production of Yanacocha was in different form.
Daniel Altman - Bear Stearns: Well I guess we can talk about it offline, it just seems if they show the, a number of more or like, I think its 765 or so for Yanacocha and you are showing 800. I am not sure for differences production versus shipment charges and another differences and how you reconcile?
Roque Benavides Ganoza: The difference is, well one is that the gold produced as you are complaining with the gold sold. The gold produced in Yanacocha was 769,000 ounces while the gold production was 800,000 this is the difference.
Daniel Altman - Bear Stearns: Okay.
Roque Benavides Ganoza: I’m sorry the difference is 669,000 ounces was the gold sold and the gold produced was 800,000 ounce right.
Daniel Altman - Bear Stearns: Okay. Are you sure the production will be okay?
Roque Benavides Ganoza: Yeah. With regarding to the derivative instrument, I believe deal is to convert our derivative instruments into a physical delivery. The point is that we have explained before that according to Peruvian relations, derivative instruments are considered our Peñoles operations carried out off-shore or abroad. And due to these, a huge, mega losses in derivative instruments do not have the rights to detect these losses for income tax purposes. While working with physical delivery what you do is to sell the gold and invoice at the price of your hedged position. And in following, these procedures you have the right to detect the loss of the different in prices for income tax purposes that what we did, we converted 100% of our derivative instruments into physical delivery. And that’s why we in our financial experiments are recognizing the credit of….
Operator: One moment, we’ve lost our speaker just one moment. Mr. Altman will you finished with your question?
Daniel Altman - Bear Stearns: I had a follow up.
Operator: Okay just one moment. Just one moment, please stand by we are reconnecting the speakers right now. And gentlemen you are on.
Roque Benavides Ganoza: Yeah, I am sorry but we lost the caller. Let me repeat after confirming the difference of the production and sales of a Gold Field in Yanacocha, we’ve talked about the liberties. And what we explain is that we decided to covert the 100% of our derivate instruments into physical delivery due to this different treatment for income tax purposes in Peru. Due to these by converting these derivate instruments into physical deliveries, we recognize and introduce in our financial statements, the credit for our income tax and for the World Cup participation profit. That’s why in this quarter, we will report a positive figure instead of our negative one. If you will like to plan on that, we can share the details of the figures the non-individual comfort space.
Daniel Altman - Bear Stearns: Okay. Just one follow up the motivation to moves to physical delivery you mentioned was related to, being able to take the tax benefit from the physical sale suppose to derivative loss. I am just wondering if the price, the current price of gold had any impact on your decision.
Roque Benavides Ganoza: Not at all, because we are not basically modifying the prices that we want and by converting now from the real opportunity from the physical delivery, perfectly the same, we have no cash effect the only that anticipate is the sum that we can take the, the credit for our income tax and word of participation...
Daniel Altman - Bear Stearns: Okay thanks very much.
Roque Benavides Ganoza: You are welcome Dan.
Operator: We will hear next from Terence Ortslan with TSO and Associates.
Terence Ortslan - TSO and Associates: I think maybe just, how are you, maybe just this is the time to discuss the Peruvian risk, some of the companies information down here that about the powerful situation impact of the mining industry you want to re-summarize up the leading issues, but again on the tender issue elements involving the equities? Thank you.
Roque Benavides Ganoza: Well it’s a, its always a speculation to discuss that sort of question that, you see, you have to bear in mind that, mining in Peru represent an excess of 30% of total exports of the country. And politicians during the campaigns may say a number of things that certainly mining is the leading industry in the country. It certainly continues to decentralization of the country. And I wonder whether even the most nested candidate saying that he’s is going to control mining or everything like that will do anything against an industry that contribute with more than 30% of total tax collection of the country, of a net income tax amount, and our income tax. So we have a feeling that they maybe saying something that are thoroughly more dramatic than what really going to happen. We, we essentially believe that we have to continue working and that we have to show all these candidates as of today and when they, if any of them get to the President and of course, may try to patent laws then here we have to explain what are the real situation of the sector. Having said that, it is very important to look in that the in Congress, there is no clear majority of any of the potential pursuance or the potential any candidates that are heading the position of the first round election. So we are essentially after meeting that things are going to get to terms and will be balanced by the time, we have a new government in July 28th.
Terence Ortslan - TSO and Associates: Okay. Is there any issues with respect to, I mean there is a quarter regressive rating happening in whole America and I just hope that towards mining, no question about it. And then taking example from other places or baud rates, you’ve want to taking the rights in ownerships and projects and everything else. What’s do you think its going to be the mitigating circumstances for this suppose, are this, there is going to peak in terms of the negative issues?
Roque Benavides Ganoza: Well, I don’t feel Peru going through our nationally fashion process. And there is a personal opinion. I think today different to what we have at the time of Mr. Velasco in the early 70’s where we had only two the international companies in Peru. Today, we have investment of international companies all over the worlds, all the international companies invested in Peru and I think, this is an insurance policy for mining investment in the country. Buenaventura being a Peruvian founded company certainly believes that, the company that have been founded in Peru has to be of course, supported as well. So I personally don’t feel a dramatic change.
Terence Ortslan - TSO and Associates: Thank you.
Operator: Next we’ll hear from Tony Lesiak with UBS.
Tony Lesiak - UBS: Good morning. Carlos perhaps you could just take us through especially the CapEx cost forecast. You show $160 million was spent in Q1; I’m assuming that for 100% basis for Cerro Verde?
Carlos Galvez: Yes of course this is 100% of Cerro Verde this is what Cerro Verde spent during the first quarter. You know that the total budget for this project is $350 million around and well what we report to business the amount, expensed during the quarter.
Tony Lesiak - UBS: Okay did you reconcile with the, I guess your cash flow statement. And the amount in the difference between what you are taking in from your investments and what you are getting in dividends? Can you maybe give us a sense of where you think that number might be for the year, in terms of your dividends versus how much of income you are taking in from your affiliated companies?
Carlos Galvez: In terms of dividends to repay by the company?
Tony Lesiak - UBS: To, to be taken out of the joint ventures.
Carlos Galvez: Well, in the case of Cerro Verde, we do not foresee any cash dividend during busy or on, perhaps the net volumes. In the case of Yanacocha, we should refer our ability participation 44% along of the, in excess of $200 million.
Tony Lesiak - UBS: Okay.
Carlos Galvez: Just a clarification these are not joint ventures, these are companies, and we are shareholders know?
Tony Lesiak - UBS: My mistake. A Quick question on the deferred tax impact that was, $0.18 in the quarter?
Carlos Galvez: The royalty tax on…
Tony Lesiak - UBS: $0.18 per share, so if I am looking, if I am trying to get clean number for the quarter, 106 minus $0.18 which of the deferred tax impact that gets you to about $0.88 for clean number.
Carlos Galvez: You’re looking our dual model and comparing with the impact that we should get over here?
Tony Lesiak - UBS: Well, no I mean you got taxes back in the quarter if you, if you trying look at the quarter on a non recurring-basis. If you look at the cash flow statement, it looks like about by $23 million in deferred tax positive impact, that’s what $0.18 per share, I just wanted to confirm that number.
Roque Benavides Ganoza: Yeah, well the total equity for taxes and workers participation is slightly $6 million solid.
Tony Lesiak - UBS: Okay.
Roque Benavides Ganoza: Carlos if you can convert it per share unit volume have shown up.
Tony Lesiak - UBS: Okay and finally for in Uchucchacua, can you give us the new 2006 production cost forecast?
Roque Benavides Ganoza: The cash cost goes in Uchucchacua will keep around $3.30 per ounce during this year, we are going to compute develop the new access to the whole criteria in preparation for additional production we mentioned, we are working hard for that and it was mentioned in our projects we have same number of budgets for this job. So this will impact our cash flow because we expanded.
Tony Lesiak - UBS: And in terms the number of silver ounces you plan to produce in 2006?
Roque Benavides Ganoza: Well, we’re keeping, budgeting 11 million ounces for the normal operation of Uchucchacua.
Tony Lesiak - UBS: Okay so you are expecting the grades to recover and you still to need your forecast for the year?
Roque Benavides Ganoza: Right and increase, few were recovered by finally reaching this failures of the sulphide and adding site production in the facility, we are going to complete by September.
Tony Lesiak - UBS: Can you remind me what the forecast was for 2007?
Roque Benavides Ganoza: In Uchucchacua, production of Uchucchacua?
Tony Lesiak - UBS: Yeah.
Roque Benavides Ganoza: Well we consider that, well the evolution was 10 million ounces produced in ’05, 11 forecasted for the year of ‘06 and we expected to reclose 12 million ounces in ’07.
Tony Lesiak - UBS: Okay with similar cost or lower cost?
Roque Benavides Ganoza: Similar cost because of the marginal cost of the cynidation process will be in the order of $3 per ounce.
Tony Lesiak - UBS: Great thank you so much.
Roque Benavides Ganoza: You are welcome.
Operator: Our next question will come from (indiscernible) with Citigroup.
Unidentified Speaker - Citigroup: Yes, good morning. I have a couple of questions, first one is related to cash cost Yanacocha, we saw a 12% increase this quarter and I would like to maybe what kind of cash cost could we expect for the rest of the year? And the second question is related to income or losses from hedges or future sales. If the gold price were to remain at current level throughout the year, what kind of impact should we expect to see in results?
Roque Benavides Ganoza: In terms of the cash cost for year ’06 well, in Yanacocha we budget $183 per ounce. So we brought 165, due to this reduction in production for the next 3 quarters, we are going to increase this cash cost a little bit. In terms of the impact of the hedge group, if you go to our exhibit where we show the hedge books which is exhibit 3, you can absorb that our commitment for the balance of the year ’06 281,000 ounces of gold as the average price of almost $339 per ounce. So, the impact in our financial experiment of cost opportunity well, it is a take 600, to 340 per ounce, you believe and times the number of ounces you have there.
Unidentified Speaker - Citigroup: Okay, and you said the 183 per average cash cost of Yanacocha?
Roque Benavides Ganoza: 193 as an average for the year in Yanacocha.
Unidentified Speaker - Citigroup: Okay. Do you have any estimate for ’07?
Roque Benavides Ganoza: Not yet.
Unidentified Speaker - Citigroup: Okay, okay thank you very much.
Roque Benavides Ganoza: You are welcome.
Operator: Our next question will come from Geoff Stanley with BMO Nesbitt Burns.
Geoff Stanley - BMO Nesbitt Burns: Hi, good morning gentlemen, how are you?
Carlos Galvez: Hi.
Roque Benavides Ganoza: All right.
Geoff Stanley - BMO Nesbitt Burns: Couple of questions, silver production overall, it looks like production was about 2.86 million ounces from Uchucchacua and Pozo Rico combined per year 4 to 3.1 was there any inventory situation or was that by products that were used as credits against production cost on other projects, well, can you explain the difference in implement?
Roque Benavides Ganoza: Yes Geoff, our production 100% was 4.6 million ounces, while our sales were 4 million ounces. We increased the inventory to 600,000 ounces of silver, basically by while just question of delivery of concentrates.
Geoff Stanley - BMO Nesbitt Burns: Okay, so there is no double counting in there with respect to by-product credits, I mean being reported with this production and also the by-product credit?
Roque Benavides Ganoza: No, not at all.
Geoff Stanley - BMO Nesbitt Burns: Okay very good. It helps with, I was wondering if you can give us handle on exactly when you think the expansion is that Cerro Verde is going to be completed?
Roque Benavides Ganoza: Well, initially the schedule was to complete the project around November; it seems to be we are ahead of schedule, we could finish in October. So we are very enthusiastic about beginning certain production in Cerro Verde during the last quarter of this year.
Geoff Stanley - BMO Nesbitt Burns: Okay. And capital expenditure payments were been pretty much safer as their CapEx that will be, be ongoing beyond that in a meaningful one?
Roque Benavides Ganoza: No in spite over the price that certain prices for our surprise are included in so difficult, but we are, we can budget that.
Geoff Stanley - BMO Nesbitt Burns: That’s very good, at Trapiche, the high grade silver than anticipated that gained a loss very well.
Roque Benavides Ganoza: Well we are not sure, because I’ve still not the open it. And you know it’s a, we defined that their mining plant to produce certain volume, but you have to be reminded that these deposit, in the past, was an underground operation. So we find ourselves in a high grade reminded in certain area. So this is not a, we cannot assure higher price.
Geoff Stanley - BMO Nesbitt Burns: Okay. But, so far you’ve, you’ve been getting a reasonable positive reconciliation with reserves have use one, its not a particularly high grade area that you are going through at the moment, its, is it a reserve reconciliation issue or is it a high grade area that was anticipated?
Roque Benavides Ganoza: It is the higher grade area that would allow the reconfiguration. It’s an area, but that has given us higher grade for fixed price at you may not another amount or two we don’t really know.
Geoff Stanley - BMO Nesbitt Burns: All right, all right. Couple of quick questions, those where do you expected it to be reported, the standalone operation or would you going to combine it.
Roque Benavides Ganoza: Marcapunta is an advance acceleration project, it will start, if you want try our mining 1000 tons per day scale in the third quarter of this year. And from the Northern part of the deposit which was effectible from the old smelter mine. The mill has been prepared for that crushing grinding and filtration. And of course, we are pushing the Marcapunta West part of the development very hard, and it will be a part of the Pozo Rico activity and not the reported except home based, it wont be a …
Geoff Stanley - BMO Nesbitt Burns: We will bring that as a, has economic, economically viable entirely at this stages, its just strong mining, it will essentially be the capital item almost?
Roque Benavides Ganoza: I think, my perception, trial mining, it will be economic it will add to the economics of the company. But certainly Marcapunta we have the much bigger animal to due it. And in the future, we need to prove it I think it will retail something in the order of 5000 or 10000 tons per day.
Geoff Stanley - BMO Nesbitt Burns: Very good compensate. Okay and just. Alright gentlemen that’s excellent, thank you very much.
Operator: (Operator Instructions). We will take our next question from Philippe Hervieu with Merrill Lynch.
Philippe Hervieu - Merrill Lynch: Yeah, good morning gentlemen, this is Philippe Hervieu from Merrill Lynch. Yeah, I have just 2 questions. The first one is I wonder if you could give us an update on the development efforts and the exploration efforts on the Poracota, and La Zanja. If you have any update on that and any specific timing of the, hence beginning of the potential operations on these two projects. And my second question is regarding the, the hedge strategy, I just wonder if there was any changes in the hedge strategy for group has a whole or just was the change in the physic, derivatives of the physical deliveries?
Roque Benavides Ganoza: In terms of the Poracota and La Zanja, Poracota as you know, we have exercised our options for 25%, and we are working together with the Teck Cominco our partner with 25% in the scoping study. And we intend to bring Poracota into production early next year, so that we have to complete the corporate study and we have to phase this decision to, that will remain shareholder ourselves if the position or even call back. And we don’t anticipate the latter, because it’s only a smaller profit for the scale of production the way are interpreting which is 300,000 ounces a year. We anticipate producing 50,000 ounces in the year 2007 and scale it up to 100,000 announces in 2008. And given there high commodity prices we will also consider the possibility of doing portal trainings in Poracota and that’s something we have not done before in the company nor in the country. So we are going to carefully consider that. And we are doing off-course environmental infra study and all this functional aspects we maybe for opening a new mine Poracota. The processing of Poracota all will be Orcopampa. So we don’t need any special permits for that. Regarding La Zanja, we are working on the environmental infra study to update it, presented again some time later this year that we have to time the permitting of La Zanja Corporation with the elections in mid-year. So hopefully, we don’t have a firm date now but hopefully we will have the permit this year and we will be constructing the La Zanja offsite operation some time next year.
Carlos Galvez: In terms of our restructuring nature, well, as you may know the more of the outsource of (indiscernible) made a decision year 2004 of not continuing hedges or additional operations, our regional productions. So we guess, rescheduled our commitment in order to match with our production and would know the problems and then to convert from derivative instrument to strategically delivery and that’s it. So we are not going to continue it.
Philippe Hervieu - Merrill Lynch: So no changes on that at all.
Carlos Galvez: Not at all.
Philippe Hervieu - Merrill Lynch: Okay great, thank you.
Carlos Galvez: Your welcome.
Operator: (Operator Instructions). We have no further question at this time; I’ll turn the conference over to Mr. Benavides for additional closing remarks.
Roque Benavides Ganoza: Well, again thank you for attending this conference call. We would in touch with the investors in the course of the year, we are attending a number of conferences we will be attending the conference of, hosted by Merrill Lynch in Miami and we will be as much in touch with our investor days as possible again thank you for attending and have a good day.
Operator: That does conclude today’s conference. We thank you for your participation. Have a great day.